Operator: Good afternoon, ladies and gentlemen, and welcome to the Anterix First Quarter Fiscal Year 2022 Investor Update. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Natasha Vecchiarelli, Director of Investor Relations and Corporate Communications at Anterix. Ma'am, the floor is yours.
Natasha Vecchiarelli: Good afternoon, everyone, and welcome to the Anterix First Quarter Fiscal Year 2022 Investor Call. Joining me today are Rob Schwartz, our President and CEO; Ryan Gerbrandt, our COO; Tim Gray, our CFO; and Chris Guttman-McCabe, our Chief Regulatory and Communications Officer. Before we begin please note that during today's presentation, we may make forward-looking statements, either in our prepared remarks or in the associated question-and-answer session. These statements are based on current expectations or beliefs and are subject to certain risks and uncertainties that may cause actual results to differ materially. Risk factors that may impact our performance are identified in our most recent SEC filings. Following our prepared remarks, we will have an operator-led question-and-answer session. In addition, at the conclusion of today's call, a replay and transcript of our discussion will be posted to our Investor Relations website. With that, I'll turn the call over to Anterix' President and CEO, Rob Schwartz.
Rob Schwartz : Thanks, Natasha. Good afternoon, everyone, and thanks for joining our Q1 investor call. Just recently in June, we had our Investor Day, where we shared our refined vision of the future of Anterix and highlighted key improvements to our business model and investment thesis. The response to that event and specifically to our fine vision of the Anterix opportunity has been quite positive, not only from our customers in the utility sector, but also from the investment community. Since most of you heard the Investor Day presentation, I'll reiterate a few key points, and then I'll provide a brief update on the continuing momentum since then, further supporting this developing industry movement. Our prospective customer pipeline now includes over 50 utilities with a total potential prepaid contract value of about $3 billion. And with the increasing demand for prepayments that we're hearing from prospective customers, we currently believe that the majority of our contracts will be prepaid in full over the first 3 to 5 years of the contract terms. This evolution brings significant cash flow earlier than previously anticipated in our forecasts and allows us the potential opportunity to begin to return value to shareholders within the next 2 calendar years. In our current fiscal year ending March 31, 2022. Based on our current sales pipeline, we continue to forecast signing contracts with proceeds over $200 million. Looking ahead through fiscal year-end '24, we intend to sign approximately $1.8 billion of contracted proceeds totaling about 50% of our nationwide spectrum value. By fiscal year end '24, we would expect to have collected approximately $300 million to $500 million in cash proceeds with the remaining more than $1 billion contracted due to be collected soon thereafter.  And beyond that point, we expect to continue to grow with 50% of our spectrum value still on our balance sheet available to monetize as well as the residual value of our lease renewals and plus our ability to explore and develop potential new revenue opportunities with partners.  Foundational to all this momentum is a modern communications platform driven by the utilities need for connectivity to provide situational awareness and allow for the command and control of millions of distributed assets across a growing utility footprint. Our 900 megahertz low band spectrum specifically addresses these needs and is propelling the demand side for Anterix' spectrum offering reflected in a growing list of pilots and industry activity. Let's now spend a few minutes discussing the significant additional signs of momentum that we've seen just since Investor Day. First, an additional 3 companies have applied for experimental licenses on our 900 megahertz spectrum. These entities include the utility, Tampa Electric as well as technology leaders, Ericsson and Burns & McDonnell. It's worth noting that utilities are no longer pursuing pilots to confirm private LTE as a technology. Pilots are more often being used to demonstrate use cases and to build support internally for investment business cases. As Ryan's detailed in the past, not every utility will seek an experimental license before they move forward with private LTE, but they are a good indication of continuing momentum throughout the industry. Let's spend a few moments discussing key areas of focus for each of these 3 new experimental licenses. Tampa Electric is a Florida-based investor-owned utility, who per the FCC experimental license application, is exploring use cases in support of electric and gas utility operations, including AMI, SCADA and other uses. Tampa Electric joins more than 10 other utilities who have leveraged 900 megahertz spectrum to better understand the unique resiliency, reliability and security features of a dedicated private LTE network. It's also worth noting that Tampa Electric is 1 of the 11 utilities that also purchased CBRS licenses at auction. And like several other CBRS licensees, is working with us to explore the complementary nature of these bands, which is helping us develop our integrated solution.  Ericsson, a global leader in broadband communications and Burns & McDonnell, a leading engineering, construction and consulting firm to utilities, are each independently showcasing the value of 900 megahertz private LTE in solving multiple use cases. Ericsson joins both Nokia and Motorola as infrastructure thought leaders working hand-in-hand with Anterix to help drive 900 megahertz education, development and ultimately adoption. We have other major efforts underway to increase awareness and attractiveness of our spectrum to utilities, such as the Anterix Active Ecosystem program. As a reminder, we announced the program in May with 37 world-class technology industry leaders coming together to provide a wide range of solutions for 900 megahertz private LTE networks. The number has now grown to over 50 technology leaders, including Cisco, GE, Hitachi, Qualcomm and many more. These ecosystem members have a vested interest in supporting private LTE at 900 megahertz and are actively engaged with our team to collaborate on devices, services and solutions that can support and address the current and future needs of utilities and other critical infrastructure entities. Since the launch of this ecosystem program, we've heard from numerous utilities about the significant value they see in this active ecosystem effort. As I previously described, we also expect the relationships in this ecosystem program to develop into commercial opportunities for Anterix. And I want to highlight 1 example that we just announced. This morning, we issued a press release outlining a new relationship with Federated Wireless. For those of you who don't know Federated, they were the leading proponent of the FCC in bringing the CBRS spectrum to market in its novel shared model. And are a key provider of the CBRS SaaS platform service that's required for access to that mid-band spectrum. As discussed in today's press release, we're beginning -- we're bringing to market a combined and complementary offering of dedicated use of our 900 megahertz broadband spectrum paired with Federated Wireless' shared spectrum SaaS services for use on the CBRS band. This is a logical relationship as we are already working with many utilities on the hybrid approach of combining low-band 900 megahertz with an overlay of mid-band CBRS to add capacity and coverage in incremental areas as needed. As we identified at our Investor Day, the remaining 70% to 85% of the utility spend on private LTE network deployments and operations beyond the cost of our 900 megahertz spectrum creates an opportunity for Anterix to identify low capital-intensive ways to build incremental value for our shareholders. This relationship with Federated is a good initial example of the kind of opportunities we referenced. We look forward to sharing more about these options for incremental developments throughout this coming year.  We also are seeing continued significant positive momentum from policymakers. Yesterday, the Senate voted to pass the Infrastructure Investment and Jobs Act. Language in the Act embraces the intersection between grid modernization and private broadband communications as well as the connection between utility private LTE deployments and the support for rural broadband.  The bill provides billions of dollars earmarked to support these efforts. The legislation now moves to the House for their consideration. As we've detailed in the past, we do not need legislation to deliver on our business plan; however, the education of policymakers and the industry alone has already aided in heightening the awareness of the importance of our efforts. Washington's focus on decarbonization, distributed energy and infrastructure has shined a light on our goal of helping to modernize America's electric grid. That being said, with this bill passage, we would expect that this would be a further catalyst to securing utilities interest in Anterix' offering.  And another important milestone for Anterix in the last few weeks, the FCC granted our first broadband licenses for several counties of our initial customer, Ameren. Those grants are the culmination of a lot of hard work by our team, the utility sector and the team at the FCC. They also represent the formalization of our effort to deliver broadband for mission-critical needs across the United States. As we shared at our Investor Day, Anterix intends to become the de facto private wireless broadband solution provider to the utility and critical infrastructure sectors. With our breakthrough achievements continued significant momentum and tailwinds, we feel we are well aligned to achieve this mission and look forward to sharing more about our continued progress with you all soon. Thank you very much.  With that, I'll turn it over to the operator to open the call for questions.
Operator: [Operator Instructions] Your first question is coming from Phil Cusick from JPMorgan.
Phil Cusick : Maybe dig into that $200 million of contract value, I think you said by March 31, 2022. How do you count the ones that have been signed already in that? And how many should we expect between now and then?
Rob Schwartz : This is Rob. As we've talked about at Investor Day, the $200 million is the incremental contracts we intend to sign through the end of the fiscal year. That can be all kinds of mixes given the breadth of the pipeline we have over 50 utilities.  And so I don't know, Ryan, do you want to add anything? Any color to that Phil's question?
Ryan Gerbrandt : Yes, I'd be happy to, Phil. Let me come back to a little bit, as Rob said. So in the aggregate, net incremental contract proceeds of $200 million. And we get to that, we talked a lot about it in the Investor Day around how we're qualifying and what we see in terms of opportunities in the pipeline. And I'll just reiterate, I hit on a few of the very key points in the earlier remarks, but let me add a little bit of depth to some of it.  So in addition to what we're seeing now in the growth of the over 50 accounts representing over $3 billion, we break that down into the various phases. And that's the different phases in the evolution of accounts through those phases, which are really the basis of how we think around operationalizing the path towards both the $200 million goal and the year-end fiscal year '24 goal. The highlight that I take away from what we've seen in terms of that momentum that builds the capability and what we see in terms of the confidence has really been defined in terms of some of the evolution that we've seen into what we call the Phase 2 category, Phil. With today, already roughly 1/3 of the pipeline value represented in that phase. And that's important to me because that's where a lot of the opportunity pipeline growth is coming from in addition to obviously what we have already in Phase III, which, as I said, at the late stage of contract negotiations, are kind of at the bottom of the funnel as we ultimately think about it.  But with that doubling in the overall growth of the pipeline and then frankly, just the diversity that we're seeing. So we've now scaled a world-class front-end sales organization to be able to capture not just singular opportunities that we see in front of us, but to really lean in and capture all of the interest and demand that we're seeing across the whole market. And that creates a powerful set of optionality. As we think both to the near term and the long term, we now have a diversity of large, medium and small-sized customers that gives us a variety of paths actually here now in the $200 million goal for this year and as we -- when we look out to fiscal year '24.
Phil Cusick: And I know it's only been, what, 6, 8 weeks since the Analyst Day, but any change in the Phase II count or the types of customers coming in there and then movement from Phase II to Phase III?
Ryan Gerbrandt: Yes. No. And as you said, Phil, it's not been a lot of time in between. So we've not seen a dramatic set of changes in any of the overall categories that I think is worth noting. What we are, though, continuing to see, and this is playing out literally day by day, week by week, it's just the overall intersection. I'll say with what we've been driving in terms of market education, market awareness, coming off the heels of some of the things like industry and customer participation in the active ecosystem program, a broadening understanding and awareness as we see across the entirety of the pipeline. And that's most measurable as I'm seeing the new customers coming into the top of the funnel.  A year ago, most customers coming in had an interest in PLT, didn't know a lot about it. We had to spend a lot of time in cycles really educating them on the ins and outs of what the technology is, how it fits into their business cases, what are the applications even that they can support on it.  One very positive thing that I'm continuing to see is how that education has landed and it's not just us delivering it anymore. It's coming from across the entire market and ecosystem, is that they're coming in more educated. They're coming in more aware with information in hand that they've been able to source either directly from us or through others, either indirectly through the ecosystem or through organizations like AVA, who've been all collectively doing just a fantastic job driving the overall education and awareness of the broader set of customer base.  And that matters to me from a pipeline trajectory perspective really because it helps the process move faster earlier. So we don't need to invest as much time in that front end and really get into the brass tax, that's helping to work through the details of the business case and executive volume and sponsorship where really we can put some of our best skills to work in the world-class team that we've been able to assemble.
Operator: Your next question is coming from Simon Flannery with Morgan Stanley.
Simon Flannery : I wonder, Rob, if you could update us on the progress with Ameren and SDG&E? And how you're getting on with the clearing? And it sounds like you're making some progress with the FCC. But how do those 2 stand? And what's the latest thoughts in terms of cash receipts for the balance of the funds from them?
Rob Schwartz : Sure. Why don't I talk about the relationship continuing. And Tim, maybe you want to jump in on the cash receipt side. But individually, Ameren and SDG&E are both progressing tremendously from my view in that we are actively working with them. I think of them both as really sandboxes for us of the -- not just the deployment of our spectrum, but also better understanding how utilities are using and getting value out of private LTE networks.  And so we've got teams that are working across the board with Ameren on planning their deployment. You heard the great news about their first licenses coming from the FCC. That was a really momentous occasion for us because it really showed that despite us talking about it and getting rules, now the process works and we can apply for and get granted it on a reasonable short-term licenses to be able to fulfill our obligations under the contract. So SDG&E, the same thing, continue to see their innovative thinking on use cases. They are active participants across the board, nationwide also working with UBBA and with other vendors helping us drive the ecosystem forward. They've made comments to us about how much they appreciate the -- how we brought together that ecosystem.  So I think overall, those relationships that are really just getting started from our standpoint, and will continue to grow. I do think the relationship with Federated Wireless that we mentioned and our ability to now be able to bundle together a combined CBRS 900 solution is valuable for all utilities, but specifically the first couple of customers we have. And I think we'll hopefully see some more developments there as well. Tim, you want to talk -- update on the cash receipts?
Tim Gray : Sure. Well, let me talk about clearing first, Rob and Simon. I think we've made good progress in both territories on the clearing front, and we'll continue to do so with what we see in front of us. So the SEC put out the rules for applying for broadband licenses in May. We were in line with the first several bunch of counties for Ameren as soon as we could be on the day that it opened. And the process has been rather seamless working with the FCC. So as Rob mentioned, we've started to get our first set of broadband licenses and would expect our next payment from Ameren to be in the next few months based on the time line that we've laid out with them. So we feel like we're in really good shape with that as well. So all things are progressing forward.  And the last thing I'll say, Simon, is as a part of plan for broadband licenses, we've also begun to work with the FCC on anti-windfall payments. Their calculations have been right in line with where we expected, which gives us even more confidence in our overall nationwide estimate for our clearing costs. So probably talked about before the $130 million to $160 million. So overall, clearing is progressing as we had hoped at this point.
Simon Flannery : Great. And that's helpful. Maybe one for Ryan. I think that the CBRS thing is really interesting. Do you think we might see the utilities active in the upcoming Auction 110, the $3.45 to $3.55? I know it's sort of bigger license areas. And relating to that is we've talked a lot about LTE today, but how is 5G coming into the conversations as utilities think about should I be waiting to deploy a 5G network rather than doing LTE for now?
Rob Schwartz : So Simon, it's Rob. Maybe I'll start on just on the other band. And obviously, we can't share anything we know confidentially under NDAs with the relationship with utilities. But just broadly speaking, I'm not hearing about any considerable interest from utilities, specifically in that band. That's not to say that there aren't utilities that may be thinking about it overall.  But Ryan, maybe you want to step in on the rest of the question.
Ryan Gerbrandt : Yes. No, and I agree with you on that. I'm not hearing anything specific at this time also, Simon. But let me come back to the 5G part of the conversation. We do encounter this question. Obviously, there's a lot of hype, I'll say, still put into the 5G conversation coming from various stakeholders. I find utilities though are pretty pragmatic in what they're anticipating in terms of their evolution of network functionality and really the road map towards supporting some of these next evolution, networks like 5G.  And a lot of it is rooted in the use case and the capabilities that they really need today and a broad understanding of kind of what they can get and the value proposition that a 4G LTE network brings is more than sufficient what they need. We also talk a lot about risk aversion. Utilities aren't known for wanting to be on what I would call the cutting edge, kind of the technology landscape. And so there's some wariness in terms of letting others prove the technology and capabilities and being really able to capture that value at a potential time in the future. And so it's not been a big focus of the conversation that we're seeing in the utility buying process today, but they're not blind to it either I think is really the point. In terms of looking at both the capabilities today as it's ready, it can be deployed, and they can put it to work very, very quickly. But thinking through the long-term perspective of their architecture and the various systems, as they're putting together the design and the vendor choices that they're making to keep open the optionality around how at the right time, with the right ecosystem and with the right demand use cases in place that they can naturally evolve to that outcome when they're ready.
Operator: Your next question is coming from Walter Piecyk with LightShed Partners.
Walter Piecyk : Rob, can you put some more meat on the bones of the Federated deal? Meaning like, are you the one going to the utilities and saying like, "Hey, can you package or package the GAA licenses and are utilities willing to use GAA licensing? I know you had that the San Diego like they had their own licenses, but -- and you have that whole layer cake concept, but can you do that or are other utilities, you think willing to do that with GAA licenses as opposed to priority licenses at the San Diego utility owned?
Rob Schwartz : Yes, and I'm glad to hear your dog is excited about Anterix as you are. The -- look, the Federated deal, and you know the leadership of Federated led by Iyad Tarazi, a good friend and colleague, former -- also former Nextel, are really smart and capable group of people that really were trailblazers on this idea of sharing spectrum and were critical in getting the FCC to put that band in the scheme that it is, which is both the licensed and unlicensed.  The agreement between us, which I can't really talk about the term specifically, because just we're prevented from doing so. But it does contemplate economic benefit for both of us, right? So the idea is that we -- we are really a powerful channel for them into the utility space, and that's what I think they value in the relationship. And what we value is their extreme expertise in CBRS and all the elements around that. They really help drive the ecosystem in a great way. They understand the deployment, the strengths and limitations. And so it's a great relationship for us.  And really, while it's -- I would say the spending in CBRS may not be as material in the overall scheme of utility spend, for us, it's a good example of how we translate these ecosystem partners into win-win situations where, obviously, we get the benefit of combining this product and making it more appealing to the customer, Federated obviously gets access to this great group of customers we've invested years of building relationships. And the customer is getting a better solution. That's really what matters at the end of the day, we think it helps with the adoption. I do think, Walt, that we'll see more utilities well beyond. We talked about Tampa Electric as being a CBRS licensee. There's plenty of PAL license holders, right, licenses that were won at auction, but the unlicensed, the GAA licenses, I think that absolutely are a great additive value. Once you have the foundational element of 900, right? You then can put the building blocks on top of that of unlicensed spectrum, applications, devices, all the things.  So we really see that our job beyond 900 is helping build the value of the solution set, of which CBRS is an important piece, we think other bands eventually through that layer cake approach can be. That's the beauty of adopting LTE as the standard, which is new to utilities, but they get the value of that, that it's a forward compatibility path to add more capacity, add more capabilities as the evolution occurs, the E of LTE is this evolution.
Walter Piecyk : Got it. And then a different question, but I think I believe Motorola Solutions is in your ecosystem. Greg Brown, just reported a very good quarter and tremendous traction with public safety and his camera security business is really taking off. Is that -- where are you, I guess, with them in terms of like obviously, the electric utilities, great opportunity, very obvious in terms of nationwide. But beyond utilities, where is Motorola with perhaps broadening that market to other market segments that might be interested in the spectrum?
Rob Schwartz : Yes, I think Motorola, obviously, we've had long-standing relationship, as you know, they were the key technology partner of Nextel and continue to be an important partner of ours from the beginning of Anterix, even PDV prior. We're actively working with them. They are part of the ecosystem. They have a very unique set of assets and skills that we think are really valuable to utility customers and are complementary to a lot of the other ecosystem providers. So I think all of the application skills they have, that you've talked about, a lot of which have been further developed through their FirstNet experience. A lot of them are translatable into being applications and skills for utility networks. So we think we see strong capabilities.  The other thing to remember is that a lot of the incumbent licensees that were retuning here are two-way radio customers, LMR customers, a lot of which are Motorola. And so their ability to understand that and understand the migration path of those 2-way radio systems as utilities get more comfortable with the idea of mission-critical push-to-talk, which FirstNet, again, is driving and Southern Company as a utility has adopted already. We see that they have a very big role in helping with that migration of LMR to LTE for mission-critical push-to-talk. And just migrating those networks, as utilities understand that the future of communications is LTE and private LTE, I think they can be a great partner in doing that.
Walter Piecyk : So I see that -- so what you described, though, is basically good value to them in terms of selling radios, LTE radios to their existing safety or maybe to a utility base. I guess the question is, is there an opportunity for them to integrate this LTE -- this spectrum, your spectrum for sales to nonutility customers, to public safety customers, other industry segments that that they do well with? Obviously, you're targeting the utilities, and that's a great ecosystem. And -- but like if these guys if some of these utilities want to drive their feet and someone else in that same market in a different industry sector like public safety wants to grab that spectrum. Is that a realistic opportunity, do you think? Is that something that Motorola is looking at?
Rob Schwartz : Yes. I think without getting specific into Motorola's objectives, for us, the utility space is clear, our bullseye, but as we always said, we see those concentric circles of other critical infrastructure users as being complementary, right? We've had lots of discussions, and we do talk to a lot of the vendors in the ecosystem about how we can get additional usage of these networks.  So for us now, we're folks -- yes, there's substitutes of other sectors, but I think it's really complementary users in a lot of ways. And so as you start putting together these individual pieces of networks, each individual service territory of utility as an example, and start to -- that becomes a network of networks and eventually a nationwide network of networks. That's a valuable asset.  And I always go back to the Southern Company example through the Southern Link because they're further ahead in having deployed private LTE and they've taken it further in saying, we're going to host on our network, allow other municipal utilities, gas, co-ops to use that network. They even have public safety customers on that network that because of the way they built their network with greater resiliency and greater reliability and greater cybersecurity, longer battery backup, things that they bring uniquely because of their needs other critical infrastructure entities want as well. So I think, yes, there's an opportunity for a substitute of other critical infrastructure segments, but I think more likely, it's complementary that they find ways to work together, share costs, share the benefit of this nationwide network of networks.
Operator: Your next question is coming from George Sutton with Craig-Hallum.
George Sutton : Along that same line of that concentric circle concept as we've talked to folks in the industry, we're getting a larger -- hearing a larger focus on rural broadband opportunity. And I'm wondering if that would be, by your definition, complementary? Or would that be incremental opportunity?
Rob Schwartz : George, thanks for the question. So we've talked about rural broadband. In fact, we've been recently out promoting what's soon going to be a paper published on the topic of work in conjunction with a number of partners. From our view, there's a couple of key values about rural broadband.  As utilities build their infrastructure for private LTE, and already utilities have a lot of infrastructure that's being leveraged for third-party communications networks. But as they start to pull more fiber and build more towers to get private LTE coverage. Those assets are a critical piece of unlocking the opportunity to serve rural broadband. And so we do see, and we've been talking with a number of parties from NARUC, the National Association of State Regulators, to Edison Electric, the industry association, and then to the utilities themselves, about how they individually want to facilitate that from happening to happen. A lot of utilities want to enable ISPs to build those rural broadband capabilities, leveraging their networks. And so we're talking to a series of utilities about their individual models on how they want to do that. I think it's less likely that utilities are going to want to serve those end users in rural broadband but I think that most utilities are going to want to enable those models, and that could be leasing their fiber using their towers supporting that deployment because it's in their interest.  And one of these utilities said to us that they want to make sure that these communities, especially the rural communities, keep their residents because they're investing in infrastructure to serve power and other things to those customers, and they don't want to see a migration of those customers to cities or elsewhere. And so it's very important.  I think the legislation that you heard about, I'm sure, and I'm sure you wrote about it as well, George, puts a lot of capital again into both the last mile, the fiber and broadband to the end user. But middle mile is a really important piece of it, too as talked about in legislation. Middle Mile being the a lot of the investment of what utilities are putting into their fiber and their infrastructure. And I think we'll see a lot of support for investment in that middle mile to support rural broadband.
George Sutton : You mentioned, NARUC, I know you've conducted multiple webinars in conjunction with their commissioners. Can you just give us a sense of their comfort with all of these different opportunities that you're looking at? Our sense is it could accelerate some of your approvals in the future.
Rob Schwartz : Yes, I could start and maybe Chris Guttman-McCabe, our Chief Regulatory Officer wants to jump on that. But I think overall, we spent a lot of time educating about the importance of broadband wireless in completing the communications to all these important assets, but also the importance of it in supporting, as we just talked about, the Rural Broadband as well. Chris, do you want to elaborate?
Chris Guttman-McCabe: Yes. Thanks, Rob. Thanks, George. We -- I think Rob hit on the key term, which is education. We tend to -- when we first sort of knock on the door of a policymaker, we tend to do it in the context of trying to educate them, particularly about the intersection between grid modernization and an advanced communications platform. And so that's been our goal over the last couple of years at NARUC and I think we've made great strides.  As Rob referenced, we've seen them now begin them being NARUC and particularly the public utility commissioners individually begin to talk about grid modernization and include communications as a component. And as they also talk about closing the digital divide really focusing on rural broadband and broadband to unserve there's been a focus on this middle mile component. And we've had them and watch them evolve through our education process from talking only about fiber to talking about fiber and the components of the wireless network as well. So I think we've made some great headway. That really is mirrored in what we just saw come out of the Senate, as Rob referenced. And I think that helps. I think it's circular in nature somewhat that the work we did at NARUC helped us on the federal legislative front and the work we've done at the federal level will help us. And perhaps more importantly, will help our utility customers as they pursue rate cases at the state level.
George Sutton : Super. And last question for me. You talked about use cases. San Diego Gas & Electric has been fairly excited about 1 of the use cases, which is the ability to shut off a power line before it hits the ground and therefore, avoid all of these fires. And of course, much of our country having had fire issues recently. I would sense that, that creates a accelerated pace of discussions from many of the utilities. Can you just discuss that use case specifically?
Rob Schwartz : Yes. Ryan, do you want to talk about falling conductor a little bit, if not I can jump in.
Ryan Gerbrandt : Yes, let me take that one. So falling conductor protection, you're absolutely right. San Diego has put a lot of focus on it as part of their proactive wildfire mitigation plans. And obviously, with the urgency, again, here we are in the middle of wildfire season out in the West Coast. I mean the application supports obviously all utilities across a variety of geographies that are facing similar kind of challenges.  And the essence of the technology when it's complementary to a lot of the other wildfire strategies that we see publicized from the utilities is really the proactive ability for a utility grid to be able to detect a down power line. And just as that down power line becomes a potential emission source for wildfires, if it touches the ground, the technology is designed to be able to drop the power effectively to that phase of the transmission line or distribution line to be able to limit the potential of it causing a source of fire. Now obviously, the requirements of it are, it needs a broadband, low latency kind of communication system. The ability to communicate in near real time across the various assets, technology that are necessary to enable the solution are quite critical. And that is an important alignment actually to what we're talking about in terms of private LTE.  And so I do anticipate just as we are, and we're going to continue to see conversations about it. And I'm sure other similar kinds of technologies. As an industry, we continue to come together to try to find more and more innovative technology-based solutions to be able to support all of the nation's utilities with dealing with some of these environmental disasters like fires. And again, not to sort of reiterate the same set of issues, but the Infrastructure Act and the legislation as it came out of the Senate, really recognized the need to move funding towards resiliency redundancy of the grid and particularly to help stimulate technologies that can prevent utility line caused wildfire. So there is that additional, I don't know, catalyst, I guess I would say, that is out there.
Operator: Your next question is coming from Mike Crawford with B. Riley.
Mike Crawford : Given all the cash you're expecting to collect and then return to shareholders in the next 3 to 5 years. Why wouldn't Anterix convert to a REIT?
Rob Schwartz : Thanks for the question, Mike. Just -- I mean as we've said before, obviously, we see this trend towards the prepayment as being very positive. And as Tim talked about at Investor Day, give us the opportunity to contemplate returning capital over the next couple of years. We do have our NOLs in place. And Tim, maybe you want to kind of detail our thinking on how we're planning for it at this point.
Tim Gray : Yes, Mike. And good question. And we get that one quite often. So right now, we've got over $250 million in federal NOLs that will get us through the next several years with the proceeds that we see coming in and how they impact taxable income. And so with that, we have some runway to look at and fully analyze whether or not we want to be a REIT. I would say we're examining that possibility with our advisers and trying to figure out if that's one, possible; and then two, the best path forward for us. So more to come on that as we move forward through the process, but it's something we're actively looking at.
Mike Crawford : And then I know that spectrum lease cost itself is a relatively small portion of overall investment utilities would make to deploy private broadband network. But has there been any reaction from your customers following this wildly successful auction of 3.5 gigahertz spectrum in Canada that came in 2 to 3x, what probably people thought would accrue that?
Rob Schwartz : Good question, Mike. We saw your note on the bio, well explained. And I think -- look, our view is we always talk about the value of our spectrum in these conversations being fair market value. And obviously, any new data points that occur in between these transactions go into that discussion and calculation of fair market value. So you should assume that as we're both internally and using our external experts, positioning the value of spectrum, which, as you know, over time, has shown historically to increase in value over a pretty significant trend line. We're not surprised to see other good high watermarks and to continue to use those in our negotiations and discussions to continue to drive getting what we think is good strong fair market value.
Mike Crawford : Okay. So I know it's only been a couple of weeks, but you haven't seen any like accelerated interest to just sign on the dotted line somewhere, given lower prices you're talking about versus what the big 3 carriers paid up north?
Rob Schwartz : I don't want to say anything disparaging about Canada because our Chief Operating Officer, Ryan Gerbrand, is from Canada. So -- but I think it's an important data point, but it's clearly not in the context of all the other data points. It's just like anything where you have comparables, it's another important one to show the positive trend and an upward trend of spectrum.  Ryan, anything you want to add there?
Ryan Gerbrandt : No other than I'll confirm I'm from Canada, but I think you hit the nail on the head. I mean there's a lot of considerations, obviously, that the utilities are going into in their buying process here. And there's no doubt, seeing other auction transactions at good quality prices only helps support the conversations that we're at.  But it in itself doesn't change the process that the utilities have to go through. They're still, as you said, working their way through justification and stakeholdering on a deal that size is much larger than what we see in just the spectrum transaction, and that's still a necessary process, even though they are -- I'm confident in this, seeing the urgency and the scarce nature of what the spectrum offering is, that's promoting a lot of the conversations we're seeing.
Operator: Your next question is coming from Chase White with Height Capital.
Chase White : First one, were the utilities or the ones driving the Federated agreement and just the general conversation or was that more you guys and Federated coming together? And are you in discussions with any other SaaS providers like Amdocs or a Google for similar collaborations?
Rob Schwartz : So Chase, on the genesis of our relationship, we've known Federated almost since they started probably, again, Iyad Tarazi, their CEO is a former Nextel colleague and colleague of ours and friend. And so we've been working with them from the beginning. And so thinking about the complementary aspect of this arrangement that we have with them.  So there's nothing -- so it was driven by us because we've been following CBRS from the beginning and see this complementary aspect. I always compare it to you're using WiFi in your home or office and you go outside and use cellular. That's the way I see the complementary aspect of CBRS very much. It's mid-band. It works well in buildings and campuses. But as soon as you start having to cover wide service territories, you need a foundational spectrum like 900. And Federated gets that from the beginning. They've got a great team of people. But there's nothing particularly exclusive about that from a utility standpoint, right? Our view is we have a really strong, long-standing relations with Federated. We want to help them create a better product that's integrated with ours to be able to offer it to utility customers. But as you said, there's a lot of choice on SaaS providers, we do think Federated has a very, very strong offering in that, it's what they do solely and are very focused on how to bring that kind of shared spectrum solution to marketplace. And so we're excited about the relationship.
Chase White : Great. And in terms of returning capital to shareholders, once you've started to roll up more of these leases over time, assuming that they're similar to the Ameren contract, what it sounds like you guys are thinking that they will be where the cash is received in stages pretty much upfront. Given the creditworthiness of these utilities, do you see an opportunity to take on leverage to accelerate or smooth out the capital returns?
Rob Schwartz : Look, we're always looking at optimizing our financial returns for our investors, including our capital structure. So I think it's probably premature for us to talk about what we could -- what we would do. But clearly, we're -- you can look at our history, both through the use of leverage in the early days of Nextel and through other companies. And at the right time, if it makes sense in the context of what Tim said earlier about our financial planning, it would be something we would consider.  Tim, anything else you want to add there?
Tim Gray : No, I would only add that, Chase, yes, we're going to look at all the things we can put into our toolkit and see what's the best use for both Anterix and for our shareholders. And so more to come on our thoughts on that as we move forward with these contracts.
Operator: We have no further questions from the lines at this time. I would now like to turn the floor back to Rob Schwartz for closing remarks.
Rob Schwartz : Thanks, Catherine, and thanks, everyone, for the continued time and interest. We look forward to talking to you all again soon. Have a good day.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.